Operator: Good morning. My name is Andres, your operator. And I welcome you to Argos' Fourth Quarter Results Release. On the call today are Juan Esteban Calle, CEO; Maria Isabel Echeverri, the VP of Legal Affairs; Carlos Yusty, the CFO; Bill Wagner, the VP of the United States Division; Tomas Restrepo, the VP of the Columbia Division; and Camilo Restrepo, the VP of the Caribbean and Central America Division. Please note that certain forward-looking statements and information during the call are in the and presentation uploaded at www.argos.co/ir are related to Cementos Argos SA and its subsidiaries which are based on the knowledge of current facts, expectations, circumstances and assumptions of future events. Various factors may cause Argos' future results, performance or accomplishments to differ from those expressed. The forward-looking statements are made to date. And Argos does not assume any obligation to update such statements in the future as a result of new information, future events or any other factors. Today, after the initial remarks, there will be a Q&A session. [Operator Instructions]. It is now my pleasure to turn the call over to Mr. Calle.
Juan Esteban Calle: Thank you, Andreas, and good morning, everyone. I would like to start with our consolidated numbers by mentioning that these include the effect of the divestment of ready-mix assets completed at the end of December in the U.S. We sold 28 ready-mix plants in the state of Arkansas, Virginia, South Carolina and Georgia with a contract to supply cement in the coming years to SRM Concrete. This made our ready mix for a total cash inflow of $95 million. This transaction helped us to continue moving towards our delayering target of 3.2 times net debt to EBITDA. And it’s part of the reorganization, the ready mix business in the U.S., to balance our portfolio, where we are focusing our operations in urban and more profitable markets. Remember that for the purpose of facilitating the comparability of results during this call, we will be making reference to financial numbers, net of the effect of IFRS 16. More detail on our financials after the adoption of IFRS 16 can be found in the presentation and report already posted in our Investor Relations website. Cement dispatches reached 3.8 million tons during the fourth quarter, decreasing 0.5% when compared to the same quarter of 2018 and ready mix dispatches reached 2.4 million cubic meters, posting a 1.2% growth. These volumes reflect positive demand growth in the U.S. There’s been challenging market conditions in Honduras and Panama and the total term effect of our strategy to record prices in Colombia. Our EBITDA generation improved by 2% during the quarter, reflecting, first, at $23 million positive impact from the divestment of ready mix assets in the U.S.; second, a $9.2 million negative impact from one-off expenses also in the U.S.; and third, the positive impact from the peso devaluation on our consolidated P&L. These effects also impacted our net income for the quarter. I also want to highlight the tremendous efforts from our team to optimize our cash flow, not only during the fourth quarter, but in general, during 2019. CapEx was below budget. Our working capital cycle was on target and the company-wide discipline in SG&A allow us to reduce $106 million in gross debt. In previous days, we posted in our website, the information for our shareholders meeting to held on March 20 2020 with a proposal to distribute COP 251.20 per share in dividends, which represents a dividend yield of 4.3%. Now to start with our results in each region. I would like to invite Bill Wagner to explain the performance of the business in the U.S. and our view for the market.
Bill Wagner: Thank you, Juan, and good morning, everyone. I’d like to begin by highlighting our volume growth, both in our cement and ready mix businesses. Double-digit growth in cement dispatches shows that the industry continues to be positive in all of our markets with the deep South and Florida, leading the pack. In ready mix, with milder weather, dispatches grew 9.1% in the quarter, and I’d like to specifically highlight our performance in Houston and Atlanta, which are up double digit. Our revenues for the quarter followed the volumes with a 14.5% rise. As for EBITDA, on a like-for-like basis, it increased 33% in the fourth quarter as we recorded significant one-off charges of $9.2 million as well as the profit from the ready mix divestment of $23.6 million. The improvement in profitability besides volume growth is a direct consequence of our execution of our best program. During this quarter, we achieved a reduction of 5% in cost of energetics and an 8.6% substitution of alternative fuels in our Newbury plant. For 2019, our operating EBITDA increased 4% on a like-for-like basis. Our cement business posted a 6% increase in EBITDA. Our main goal for 2020 is to improve the performance of our ready mix business with the execution of a very detailed plan. In terms of the market, we maintain a positive outlook based on lower mortgage rates, which have driven housing inventories to a minimum, and we highlight the significant increase in public construction spending. The Architectural Billing Index or ABI, which measures the non-residential construction momentum and is considered positive when it is above 50 points, closed at 52.3% in December of 2019 for the U.S. in the south, the highest level for our country.
Juan Esteban Calle: Thank you, Bill. We remain optimistic about the performance of our business in the U.S. for 2020, maintaining a strong focus on pricing and the execution of best, with emphasis in the ready mix business. Moving on to Colombia. I want to highlight the very positive dynamic of the market in terms of demand and pricing. Even with this expansion in cement consumption, we temporarily lost some market share as a result of our strong commitment and the successful execution of our price recovery strategy. Tomas Restrepo will now provide additional color on this region.
Tomas Restrepo: Thank you, Juan, and good morning. During the quarter, our dispatches were severely impacted by the closing for 13 days of the Bogota-Medellin road due to a major land slide a few kilometers from our Rioclaro plant that serves both of the two largest markets in Colombia, Bogota and Medellin. The market also suffered from the frictions on ready mix and cement deliveries to job sites and hardware stores as a result of the social product experienced at the end of November and beginning of December in all major cities in Colombia. These two elements impacted our volume during the quarter. Cement and ready mix volumes decreased 4.9% and 13%, respectively. In 2019, FOB prices increased 16% comparing the levels of the fourth quarter’s 2019 for the same period in 2018. At the same time, the cost of rent energetics decreased in a significant way from the levels of share during the first half of 2019. The reduction in coal prices during the second half of the year helped to lower the overall cost of energetics 3.27% year-over-year. Coal prices are more than 20% lower today than at their peak during the first quarter of 2019. As a result, I’m very happy to report an 8.5% growth in EBITDA during the quarter with a 22.4% margin. Excluding the effects of non-recurring items, our EBITDA grew 12% on a like-for-like basis. This result ratifies our positive outlook for 2020, taking into account our 4% to 5% growth in volume estimate for the market. One of the main drivers for growth will continue to be the revolving of infrastructure, not only 4G, but several other regional projects, such as the expansion of Transmilenio on the 68 Street in Bogota, the construction of the Bogota Metro and regional trains in Cundinamarca and Rionegro and the new water treatment plant in Bogota, among others, will support high demand for building materials. Similarly, we are expecting a better performance of housing in 2020. Even though 2019 was a record year in sales for the Colombian housing market propelled by an increase of 26% in sales of social housing units, housing starts decreased by 4.4% during the quarter – during the year, sorry. The record sales in 2019 should be reflected in a better dynamic of housing starts in the second half of the year.
Juan Esteban Calle: Thank you, Tomas. The growing demand, the successful execution of our price strategy, and the increase in the internal coal prices will help us in the recovery of the profitability and competitiveness of our business in Colombia. I’m particularly excited to share with you the start of our operations of our calcined clay plant in Rioclaro and the successful launch of our new low-carbon in cement in Colombia. This is a cement low in emissions and high in alternative cements materials with similar technical properties as our regular cement. It generated 38% less CO2 emissions and consumes 30% less energetics during its manufacturing process. We strongly believe that green cement, such as ours will be the future of our industry and the present and the future of our company. Moving on to the Caribbean in Central America, in Panama and Honduras, we continue facing these challenges that we experienced during the second and third quarters of 2019. However, I would like to point out that the operations in the Dominican Republic and Haiti, continued a positive performance, highlighting the importance of our diversified strategy in this region. Camilo Restrepo, who leads our business in the Caribbean and Central America, will explain the results.
Camilo Restrepo: Thank you, Juan, and good morning, everyone. Unfortunately, the same conditions explained during our last call prevailed during the fourth quarter. As a result, cement volume in our local operations decreased 4.4%, particularly the still slow market in Panama and the increasing political turmoil in Honduras caused dispatches to fall by 28% and 8%, respectively. This reduction has been partially offset by an increase in volumes of 11% in Dominican Republic. Therefore, and with a 5% lower FOB price for the region, revenue decreased 14.2%; and EBITDA, 29%. The EBITDA margin was 21% for the quarter. Panama and Honduras EBITDA fell double digits while the generation of a significantly smaller operation increased double digits. We believe that the first half of 2020 will continue to be challenging. Nevertheless, in the midterm, we remain moderately optimistic about Honduras, considering the slightly improving political climate and demand and cautiously optimistic about Panama, considering the strong pipeline of infrastructure projects and initiatives announced by the new government to boost the construction sector, especially in the subsidized housing market where they are starting to see new projects.
Juan Esteban Calle: Thank you, Camillo. I would like to refer now to our balance statement and cash flow. Despite a very challenging year, we were able to achieve our target free cash flow by optimizing working capital and CapEx and by closing the divestment of the cluster of ready mix assets in the U.S. We closed the quarter with a net debt-to-EBITDA ratio of 4.1 times. We have been very clear that our top priority and obsession is to gain financial flexibility. I want to reiterate once more, our objective to reduce our level of net debt-to-EBITDA to 3.2 times by the end of 2020. We set a target with improving operational performance and the continuation of our divestment program. We are executing a program this year with a target to bring around $400 million from the sale of non-integrated ready mix assets in the U.S. and real estate in Colombia, Panama and the U.S. Our guidance in terms of consolidated EBITDA for 2020 is a range between COP 1.65 trillion to COP 1.8 trillion, not including the mentioned divestment, which implies a flat volume growth in Colombia, volume growth and pricing discipline in the U.S. and is still challenging performance in the Caribbean and Central America. Finally, I would like to close the call by thanking you all for your support and attention and reaffirming our commitment to continue transforming Argos to deliver more value to our shareholders. From next week, we will welcome Indira Diaz, our new IRO. Indira is returning to Argos, where to work for over 10 years before moving on work for [indiscernible] and then for Viva Air. She will be available to answer your questions and provide you with all the needed support going forward. We’re extremely grateful with Manuela Ramirez. We miss her dearly and wish are all the best in her future endeavors. Operator, we may now continue with the Q&A.
Operator: [Operator Instructions] And first question comes from Gordon Lee with BTG S.A.
Gordon Lee: Hi good morning, thank you very much for the call. Two quick questions. The first, I was wondering if maybe you could provide a little bit more detail on the asset divestments on the $400 million target, in particular, more or less – first, the speed, how advanced are you in some of these conversations? And of the $400 million, how much do you think will actually come from operating assets? And how much will come from the, say, more idle real estate type of assets? And the second question is, I was wondering if in the areas where you’re active on the trading front or in the markets in the U.S. and which your presence. Have you’ve seen any impact at all in trading flows or imports from what’s happening in China, coronavirus, and whether that’s affected any of the flows that you’ve seen in those markets where you do see imports regularly. Thank you.
Juan Esteban Calle: Thank you, Gordon, for the questions. The first one. I mean, we plan to bring more or less $400 million from divesting first non-core, non-integrated assets in the U.S., we may be a strategic decision to divest our ready mix business in Texas. We have been trying to integrate that business for more or less 10 years to cement on aggregate without success. So we made the strategic decision to sell those assets. The process is well advanced, and we plan to close the process before the end of the second quarter of the year. More or less, 80% of the proceeds from the divestment of $400 million will come from that divestment. And the other 24% will come from the divestment of real estate assets in Colombia, Panama and the U.S. in terms of changes in the inflow of inputs to the U.S. We haven’t seen any material difference from the coronavirus, i mean, to tell you the truth, in the markets where we operate, most of the imports come from Europe and the major running. So the reality is that we haven’t seen any significant changes.
Operator: And our next question comes from the line of Paul Chabran with On field Investment research.
Paul Chabran: First of all, could you please talk about the pricing trends in Q4 2019 in the U.S. and Colombia?
Juan Esteban Calle: The fourth quarter in Colombia was very positive, not only fourth quarter. But in general, the second half of the year in Colombia was extremely positive in terms of demand and pricing. The market grew 4.2% in terms of consumption in Colombia, in 2019, that is close to 500,000 tons. So we haven’t seen the market grow that much in a long time. And the positive news is that the positive trend continues towards 2020. So in Colombia, we’re continuing that the recovery of the market in terms of prices will continue going forward. In the U.S., all the fundamentals are strong, and the reality is that we’ve posted the highest growth in volume in our history and cement in the U.S. with more than 9%, close to 548,000 tons more in 2019 compared to 2018. So the reality is that we still see that the continuation of the growth cycle in the U.S. will continuing to 2020.
Paul Chabran: And I think in the U.S.A., you mentioned a focus on pricing. Have you planned already some price increases in 2020? And can you share a bit about that?
Juan Esteban Calle: Our focus in the U.S. this year is going to be price disciplined and the profitability of the ready mix business, and I would like Bill Wagnor to give you a little bit of more of color.
Bill Wagnor: Yes. Thanks, Juan. No, I mean, our focus, as an said, this year is mainly around pricing and margin improvement, specifically in ready mix and in some markets and cement. So we’ve taken a pretty ambitious approach on announcing prices in all of our markets, specifically strong in Texas and in the Southeast. And then the Northeast, pretty strong on the cement side. So those have already been announced and should be in effect by end of first quarter.
Paul Chabran: Okay. And last quick question, if I may. Regarding your guidance. Does your EBITDA guidance include the impact from IFRS 16?
Juan Esteban Calle: Yes our guidance includes IFRS 16.
Paul Chabran: Okay. Thank you very much for that.
Operator: Your next question comes from the line of Francisco Suarez with Scotiabank.
Francisco Suarez: Thank you. Good Morning. Congrats on the opening up of your housing plans in relation quite remarkable. First question on that. Are you planning to update your overall target, some initial costs because of the opening of that project, or that was already included in your previous target so reductions? And the second question, can you provide a little bit about the overall color that you have on your operating cycle, how the working capital has a ball to three regions? Is there every year where you would just see more opportunities to improve things? Those are my questions. Thank you.
Juan Esteban Calle: Thank you, Francisco. We’re extremely happy with the operation of our new calcined clay project in Rioclaro. We will not update our target emissions because they already included the commissioning and operations on that project of Rioclaro. But our plan is to continue expanding green cement to all of our geographies. In our opinion, that is going to the future of the industry. And we are extremely proud to be leading the industry in that way. In terms of our working capital cycle, I would like Carlos to give you more color about our strategy in that sense.
Carlos Yusty: Francisco. Really, we have run a lot of work in the working capital in the different spacing, the different lines. And the accounts receivable, we have decreased last year about 10 days in all of our regions. The best in this line is the Colombian region the colonial cycle is below 14 days, and that’s really a very good number. But we have – like I was mentioning, we have decreased the number as well in the U.S. and in the CCA region. What is the opportunity that we are seeing is in the case of the inventories? And this is very different for each region in the Colombian region last year. We imported some pet coke in the case for the Cartagena plant and some coal as well. We have to decrease this inventory during this year because at the end of the year, we finished with a high level of inventory. In the case of the Caribbean, the situation is quite different because in some cases, on internal operations, we don’t have a vertical integrated plan for the reason. We have to import all of the raw materials, starting with the clinker, plus Gibson, plus, in some cases, Slack. And – but we have a very focused target with the inventories in the Caribbean as well. But the situation with different reasons is very similar in the case of the U.S., we have a very good opportunity in order to reduce the level of inventories there. And for that reason, for this year, we consider that the target is not growth in amount of money in the financial cycle for the year. zero increase – $0 of increase in the case of the working capital cycle for 2020.
Francisco Suarez: Which is very great, considering the overall prospects for the U.S.A. So that could be a very interesting accomplishment.
Carlos Yusty: Yes.
Francisco Suarez: Thank you.
Operator: Our next question comes from the line of Carlos Rodriguez with Ultraserfinco.
Carlos Rodriguez: Thank you for the conference call. I have two questions. My first one is related – I mean, I want to ask you about the sustainability of your dividend above 100% for several years and for how much longer a company is able to deliver this dividend where the source of the last year has been asset divestments? And my second question is if you could give us more detail of your cement dispatch guidance in Colombia in order to achieve this flat number with our new competitors 2020. Thank you.
Juan Esteban Calle: Thank you, Carlos. I mean, we look at this with a long-term perspective, and this company has been here for 85 years, and we plan to continue paying dividends. The reality is that if we look at our cash flow, I mean, our cash flow improving in a significant way last year, and we are putting in place an aggressive divestment program that will deliver as our company in a significant way that will make us much sustainable company going forward to continue our expansion and to continue with our dividend policy. In terms of our segment, despite this guidance in Colombia, we see that – we foresee that the market will continue growing in 2020, in the low to mid-single digits, that will mean an additional 500,000 tons of demand, which, together with the growth of the market last year will allow for the entrance of the new competitor without causing much disruption into the market. That is why we feel that we’ll still be able to have flat volume 2020.
Carlos Rodriguez: Thank you very much Juan.
Juan Esteban Calle: Thank you Carlos.
Operator: Our next question comes from the line of Adrian Huerta with Jpmorgan.
Adrian Huerta: Thank you for taking my question. Just on the last thing that you mentioned from seven on flat volumes in Colombia. What is your expectation for the industry? And you also mentioned that you expect the recovery of prices in Colombia to continue. Can we expect a similar recovery to the one that we saw last year? Thanks.
Juan Esteban Calle: The reality is that we are leading the reported prices in Colombia were extremely successful last year. Our average selling price increased 9% last year. And our goal this year is to increase prices more than that. We already made a – some significant price increases in January and February. So we’re now leveraging the consumer market, our prices are more or less 10% higher than last year. So the reality is that with the additional growth in the market and the input parity prices still well, well above our coal prices in Colombia. We see that the traction in the market will allow us to continue executing our price strategy.
Adrian Huerta: Perfect. And Juan, if you can give a…
Carlos Yusty: [Indiscernible] Are you listening well? Because some people were saying that they got cut off.
Adrian Huerta: No, I was able to hear.
Carlos Yusty: Okay.
Adrian Huerta: And, Juan, if I may add another question on the calcined clay project. Can you share with us a little bit more details on the economics of this project.
Juan Esteban Calle: This one the largest calcined clay project currently operating in the world. But for us, it is still a pilot, and this is the first of many projects. The economics is CapEx per ton, well lower than CapEx per ton on a clinker project and the OpEx per ton is as well, way lower than a regular clinker project in our business case, we succeed the target of at least 50% reduction on OpEx per ton in our calcined clay project when compared to our clinker project.
Adrian Huerta: Yes. And what has been the comments so far from clients on this?
Juan Esteban Calle: We made a lot of trials in the market before launching the project and the product to the market. And the reality is that all the comments are extremely positive. I would like Tomas Restrepo to give a little bit more color about our strategy in that sense.
Carlos Yusty: Hello, Adrian. In fact, well, the first thing I would like to highlight is that many customers were silently waiting for this kind of news to come from the cement industry. So we – the first reaction when we announced the product and the project was that they really found like this was like the best thing Argos could do for the industry and reminded, things like that have been coming to us from our customers. Now on a technical standpoint – from a technical standpoint, we see that first thing we did is we knew we needed to control the color because play is very natural. So we do have a proprietary technology that allows to get a gray-ish product coming out from the concentrate that all goes. There’s a lot of chemistry in there, and we managed to control color perfectly. Then in terms of the product, the products we are producing are from general use to send stabilization products to bulk products for ready mix, structural cement. So we have a full range of products that are produced with this new technological platform. So what we did is we formulate those products to comply exactly with the same aspects as our current product portfolio. And those are the trials that Juan Esteban mentioned that we run not only at our labs, but also with customers. We are seeing better performances in durability, for example. This is a bottle line that goes into that cement. So pozzolans are not to be more durable than normal clinker cement. We are seeing better ease of use for materializations. And the product is much more flexible as it is blended to a blending station at the end of the line. So it means that we can – we can change faster from one product to the other. Because of the blending is much easier to operate than a grinding station as a whole. So all in all, we are very happy, and our customers are not only getting the same product but also, they are also very satisfied with the environmental product but also, they are also very satisfied with the environmental performance of this product.
Adrian Huerta: Thank you so much. And if I just may add just one final question. When are you expecting to have the first sales and if the price is going to be? How is that price going to be relative to cement clinker?
Tomas Restrepo: The product is already growing as a pilot into the market. In March, we will have fully full-scale of that product in the marketplace. Even for – as you have probably seen the bag cement that will go into the hardware stores and then into the job site is going to be impacted differently with a kind of a palm leaf printed on the bag, which is also like a marketing statement of a green product in the job site. In terms of prices, well, as I said, those are going to be exactly the same product. So we will keep our price premiums exactly as they are. So the price range is going to be the same for all products coming into the market. The philosophy behind that is that we think that in a mainstream product, as we will have up to 2.2 million tons per year capacity from the real power plants with this technology. So for certain mainstream products, we need to keep it affordable for our customers. So that’s why we intend to launch at the same price range as the rest of our product.
Adrian Huerta: Congrats on this project.
Operator: And our next question comes from the line of Rodrigo Sanchez with Davivienda Corredores.
Rodrigo Sanchez: Yes. Good morning, thank you for taking my questions. The first one is regarding your comments on the expected divestments in the U.S., I would like to understand how much of the capacity on the revenues and the EBITDA of the U.S. currently coming from the ready mix operations in Texas. And also, I would like to know if you could provide some guidance for the EBITDA in the U.S. and the expected savings from your best program, considering that these were figures that you traditionally disclosed to the market. Thank you.
Juan Esteban Calle: Thank you, Rodrigo. Thank you for the question. I mean, we will not provide more information about the divestment of our assets in Texas, other than saying that it is quite an important platform in terms of not only our credit mix, but also in terms of cement volumes and aggregate volumes it is a platform to move close to one million tons of cement and close to seven million tons of aggregates. So the strategic decision on our side is considering that those assets may have more value in some overhang. I mean, in the hands of a player who has cement and aggregate in has cement and aggregate in Texas or excess clean cadence and export capacity into more markets. In our case, we don’t have a – assuming excess capacity in Cartagena, which was a natural source for cement for our Texas operation. And we are not integrating Texas. So that will allow us to balance more our portfolio in the U.S. and in our opinion, will make our assets, remaining assets much more profitable going forward. That is the rationale. In terms of savings from BEST in the U.S. Bill and his team made a significant progress in the execution of BEST in the U.S., and I would like Bill to give you some color about their accomplishments.
Bill Wagner: Yes. Thanks, Juan. And Rodrigo, following along with our best initiative, as you – I think you may remember the target was around $40 million. And so we had that under five pillars. So we looked at our organization and what that looked like and we targeted some improvements in efficiencies on the production side, on the supply chain side and the overall customer experience piece. And then the last one was our footprint. So again, our target was $40 million, and we ended up the year at – right at $49 million in savings. So again, we exceeded our target and our guys did a really good job of trying to put specific initiatives together and we were successful in almost all of those. And we still have some work to do on the margin improvement, which Juan had discussed, and that’s our key focus for this year. But last year, it ended very well.
Rodrigo Sanchez: Is that about your EBITDA guidance for the U.S.?
Juan Esteban Calle: No, we are providing consolidated guidance. We are not providing guidance by geography.
Rodrigo Sanchez: Okay, wonderful. Thank you.
Operator: And our question comes from the line of Jairo Agudelo with Bancolombia.
Jairo Agudelo: Thank you for taking my questions. I have two questions. The first one is if you can give us any detail on why the tax rate was so high for the fourth quarter last year that increased something close to 100% versus fourth quarter 2018. And my second question is regarding Colombian prices – cement prices. We have seen a high increase from your side and also from your competitors in 2019. What are you expecting to happen during this year? And if local prices are still below import parity prices, given that international arising cost have been – the fleet has been decreasing strongly given the coronavirus disease in China? If you can give us any type of color in that sense, if local prices are definitely below import parity prices? And maybe what’s the difference in both of them. Thank you.
Juan Esteban Calle: Thank you, Jairo for your questions. And Carlos will just explain why the tax rate was higher in the fourth quarter.
Carlos Yusty: Jairo. Let me going back to the acquisitions, because this is a very technicality answer – technical answer. When we bought the AMCC and sort in 2005, 2006, we made two stock acquisitions. And the last year, when we sought the 28 plants in – like Esteban mentioned in the conference in Arkansas, North Carolina and Florida, these plants were part of these two stock acquisitions. And regarding the fiscal law of the U.S., the goodwill that we paid in these two acquisitions is not deductible for fiscal purposes. It means that we made $23 million of EBITDA in these divestitures. But the fiscal gain was about the triple – was $68 million because the goodwill, which was about $36 million or $30 million – between $36 million to $39 million were – was not part of the fiscal cost. For that reason, in accounting – for accounting purposes, we had a tax rate of – very close to $5 million, but for fiscal purposes we really did or have to register tax labor, very close to $14 million. This is a one-off charge because it’s totally related to the divestitures and is totally related to the treatment of the goodwill when we are selling some assets that were – that was acquired as a stock acquisition.
Juan Esteban Calle: Thank you, Carlos. Regarding prices, in our opinion, on average import parity price in Colombia is close to $110 when you take into account all the markets. And prices are still close to $90, between $88 and $90 on average in Colombia. So the reality is that, yes, we have seen a slight decrease in freight in our opinion. This is going to temporary, that is a slight decrease, but still prices in Colombia are well below import partity prices. And with demand growing, we consider that there is a space to recover the prices in the market. So that is why we will continue executing our price recovery strategy in Colombia in 2020.
Carlos Yusty: Just one thing more in the case of the tax provision for the last quarter. This is – this will be no cash because in the case of the U.S., we have a – really a very significant amount of NOLs, and we can absorb this provision within these NOLs, and really for the 2020, this extra $9 million will not be cashed this government for the U.S. operation.
Jairo Agudelo: If I may have another question regarding the EBITDA guidance for the full year of 2020. That EBITDA includes the operation of the Texas ready mix operation or that EBITDA excludes what you are expecting to have in terms of EBITDA from those assets?
Juan Esteban Calle: That – it excludes that EBITDA.
Jairo Agudelo: Okay, perfect. Thank you.
Operator: And our next question comes from the line of Eric Neguelouart with Bank of America.
Eric Neguelouart: Good morning. Thank you for the call. So going back on Adrian’s question. You’re expecting the market to grow from 4% to 5% and the new player has been bringing around 10% of new capacity. And you’re going to be increasing prices while keeping volumes up. Do you expect the new player to be slow in its slow rollout? Or how does the rollout? Or how does the equation match because I’m having trouble with it.
Juan Esteban Calle: Thank you, Eric. I mean, we expect that gradual in terms of their capacity to the market, and since – taking into account the significant investment that we made in the new plant, I mean, we expect them to be rational in the market. So that is why during the level of import parity prices, we see that the market in Colombia is completely ready to continue recording prices.
Eric Neguelouart: Okay, thank you.
Operator: Our next question comes from Roberto Paniagua with Corficolombiana.
Roberto Paniagua: I have a few questions. The first one is how much tons of cement are you expecting that the Bogota Metro will need in the next year? Can we go one by one, please?
Juan Esteban Calle: We expect the Bogota Metro to demand more or less 300,000 to 350,000 tons of cement. And I mean, next year – I mean, we don’t know yet. i mean, to tell you the truth, there’s still some time until they break down. So a little – as earlier said, we will wait until we have a little bit more information, but it is going to be a significant amount for the market.
Roberto Paniagua: Sorry, I didn’t listen well, you told 315,000 tons?
Juan Esteban Calle: 300,000 to 350,000 tons of cement, or equivalent.
Roberto Paniagua: I have two other questions. Just – yes, it’s okay? My second question is, how much market share are you expecting to lose the year with the EcoCementos operations?
Juan Esteban Calle: We expect to continue leading the market, and we do our job every single day to try to convince our clients that we have divested value proposition. And we are ready to compete with all our – all the other players in the industry, not only Colombia but in all of our geographies.
Roberto Paniagua: Okay. I understand. And finally, you talked about the prices in Colombia. I want to know, maybe if you can give us an idea which was the price variation in U.S.A. and Panama in the year? And what are expecting in these two countries this year? Thank you.
Juan Esteban Calle: The Panama continues with a very depressed demand, with a decrease in demand and the reality is that we face price pressure. Prices in Panama, it was more or less $10 last year. We will continue to try to defend our prices and our market position in Panama because our goal is to maximize EBITDA generation in Panama. But the reality is that the market is going to be tough this year as well until all the major infrastructure projects break ground. I mean, we are very optimistic that fourth breach over the Panama Canal and the third line of the Metro will be a reality. But in our opinion, we are seeing those projects starting late this year or early next year. So Panama is going to continue to be a challenging market for us in 2020. In Honduras, the situation is better. I mean, we see that demand is growing again. Volumes in January were positive. But prices suffered a little bit last year as well, decreasing more or less $13. In our opinion, prices will continue to be similar that they are currently in Honduras. The advantage that we have is that we have a very diversified portfolio of markets in Central America and the Caribbean. And all the other markets are performing very well.
Roberto Paniagua: I want to know, yes, [indiscernible] are expecting in your private strategy in U.S.A and Central America.
Juan Esteban Calle: In Central America, our private strategy should try to keep prices at the level where they are in Honduras and Panama. In all the other markets, we are seeing prices increasing slightly. And in the U.S., we mentioned in the initial remarks that our target is going to be price discipline. So we’re expecting our prices to increase slightly in the U.S.
Roberto Paniagua: Okay, thank you very much.
Operator: Our next question comes from Steffania Mosquera with CrediCorp Capital.
Steffania Mosquera: I have one question regarding EBITDA margins in Central America. We saw historical low – historically low EBITDA margin in 4Q 2019. And since you are expecting price decreases in Panama and competition, what are you expecting in terms of EBITDA margins going forward?
Juan Esteban Calle: Our margins in Central America and the Caribbean are still the best margins of this company. And the return on the capital employed in Central America and the Caribbean is still the best of Argos. EBITDA margins in Honduras are fairly close to 40% still and margins in Panama, above 30%. So the reality is that we will try to continue keeping that margins at that level. Even though we are facing some challenges in those markets.
Steffania Mosquera: Okay. Perfect, thank you very much.
Operator: At this time, there are no further questions. Cementos Argos executive team, do you have any other closing remarks?
Juan Esteban Calle: Well once again, thanks a lot for your interest in Cementos Argos and for your continuous support, and we look forward for the first conference call of 2020. Thanks a lot and have a great day.
Operator: This concludes today’s conference call. You may now disconnect.